Operator: Thank you for standing by, ladies and gentlemen, and welcome to Dynagas LNG Partners Conference Call on the Second Quarter of 2023 Financial Results. We have with us today, Mr. Tony Lauritzen, Chief Executive Officer; and Mr. Michael Gregos, Chief Financial Officer of the Company. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions] I must advise you that this conference call is being recorded today. Please be reminded that the Company announced its results with a press release that has been publicly distributed. At this time, I would like remind everybody that in today’s presentation and conference call, Dynagas LNG Partners will be making forward-looking statements. These statements are within the meaning of the federal security laws. This conference call and slide presentation of the webcast contains certain forward-looking statements within the meaning of the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995. The statements in today’s conference call that are not historical facts, including, amongst other things, the expected financial performance of Dynagas LNG Partners business, Dynagas Partners LNG ability to pursue growth opportunities, Dynagas Partner LNG, expectations, or objections – objectives regarding future and market charter rate expectations, in particular, the effects of COVID-19 on the financial condition and operations of Dynagas Partners LNG and the LNG industry in general, may be forward-looking statements as such defined in Section 21E of the Securities Exchange Act of 1934 as amended. Matters discussed may be forward-looking statements, which are based on current management expectations that involve risks and uncertainties that may result in such expectations not being realized. I kindly draw your attention to Slide 2 of the webcast presentation, which has full forward-looking statement, and the same statement was also included in the press release. Please take a moment to go through the whole statement and read it. And now, I will pass the floor over to Mr. Lauritzen. Please go ahead, sir.
Tony Lauritzen: Good morning, everyone, and thank you for joining us in our three months ended 30 June 2023 earnings conference call. I’m joined today by our CFO, Michael Gregos. We have issued a press release announcing our results for the set period. Certain non-GAAP measures will be discussed on this call and we have provided a description of those measures as well as a discussion of why we believe this information to be useful in our press release. Let’s move to Slide 3 of the presentation. We are pleased to present the results for the three-month period ending on June 30, 2023. We are pleased to announce that all six LNG carriers in our fleet were operating under long-term charters with esteemed international gas companies. In the second quarter of 2023, our net income amounted to $14.4 million, with earnings per common unit reaching $0.31. Our adjusted net income stood at $5.8 million, translating into adjusted earnings per common unit of $0.08. Furthermore, our adjusted EBITDA for the same period reached $23 million. The fleet utilization was 91.7%, which was due to an unscheduled repair of the vessel OB River. The Partnership entered into new time charter party agreements for the Clean Energy and the Arctic Aurora with Rio Grande LNG, LLC, a subsidiary of NextDecade Corporation, adding approximately $270 million to the Partnership’s revenue backlog. The Clean Energy has been employed for a time charter period of about two years and the Arctic Aurora has been employed for a time charter period of about seven years, both charters commencing in 2026 [indiscernible] charters. I will now turn the presentation over to Michael, who’ll provide you with further comments to the financial results.
Michael Gregos: Thank you, Tony. Turning to Slide 4, and net income for the second quarter increased by $3.3 million, or 30% to $14.4 million compared to $11.1 million in Q2 2022, primarily due to the decrease of $2.4 million drydocking and special survey costs attributable to the scheduled dry-docks of the Clean Energy and the Amur River, which were completed in April and July 2022, respectively. The increase of $3.6 million in the deferred revenue amortization relating to the new time charter party agreement with Equinor for the new employment of the Arctic Aurora, which will commence in September 2023, and the increase in the realized gain on our interest rate swap transaction of $5.3 million, which was partially offset due to changes in the unrealized gain on our interest rate swap of $4.8 million. The above was partly offset by the increase of $3.2 million in the interest and finance costs, which effectively were offset with the above mentioned increase in the realized gain or cash receipt on our interest rate swap. Utilization for the quarter was 91.7% due to unscheduled repairs of the OB River, which is expected to be partly covered under the vessel’s hull and machinery and loss of hire insurances and whose net effect on the Partnership’s results for the quarter is approximately $0.4 million. Adjusted net income for the second quarter of 2023 amounted to $5.8 million compared to $9.1 million same time last year, the decrease being mainly attributable to the $3.2 million increase in interest rate and finance costs as a result of the higher interest expense paid under the floating leg of our credit facility. For consistency with prior quarters, adjusted net income excludes cash receipts and unrealized gains on our interest rate swap. If we include that this quarter’s realized gain from our interest rate swap of $6.1 million, as can be seen in the cash flow statement, adjusted net income would have amounted to $12 million, or $0.25 per common unit instead of $0.08. Adjusted EBITDA for the second quarter was relatively stable at $23 million as compared to $22.9 last year. TCE for the quarter amounted to $67,489 per day per vessel, the elevated TCE relative to prior quarters is due to the non-cash straight line deferred revenue amortization related to the new contract of the Arctic Aurora with Equinor and which is reconciled with absolute cash revenue receipts in the cash flow statement. OpEx for the second quarter amounted to $14,824 per day, with a per vessel cash breakeven for the quarter of $46,900 per day, excluding distributions to preferred unitholders and including the realized gain from the interest rate swap. Turning to Slide 5. As of the end of June 2023, we have $444 million debt outstanding. We are continuing our comprehensive deleveraging path, which commenced in the first quarter of 2020, resulting in a decrease in our net leverage to 4.3x from 6.6x and a steady increase in the book value of our equity. For the quarter, we generated $8.8 million in operating cash flow equivalent to operating cash flow of about $0.24 per common unit. Again, please be reminded that this excludes $6.1 million in realized swap gains. Moving on to Slide 6. Our cash balance for the quarter remains stable at $53 million and our credit metrics continue to improve. Subsequent to June 30, we have three LNG carriers passing their 10-year special surveys and installation of the ballast water treatment systems. The Yenisei River has completed a special survey in the third quarter and the Arctic Aurora and Lena River, both commenced their special surveys and dry-docks, which are currently underway. That wraps it up from my side. I will pass the presentation over to Tony.
Tony Lauritzen: Thank you, Michael. Let’s move on to Slide 7 of the presentation. At present, our fleet consists of six LNG carriers with an average age of approximately 13.1 years. Our current charters include prominent companies such as Equinor of Norway; SEFE and Yamal Trade of Singapore; as well as Rio Grande LLC, a subsidiary of NextDecade for the forward chartered vessels, Clean Energy and Arctic Aurora. As of today, 15th of September 2023, the fleets contracted backlog amounts for approximately $1.2 billion, equating to an average backlog of about $200 million per vessel. Furthermore, the fleet enjoys an average remaining charter period of approximately 7.4 years. We are confident that our charter profile is strong and positions our Partnership for stable income in the years to come. Moving on to Slide 8. Our strategy is centered on securing long-term charters with LNG producers. As previously mentioned in this presentation, our Partnership has recently entered into a new time charter party agreements for two of our vessels namely the Clean Energy and the Arctic Aurora, with Rio Grande LNG, LLC and subsidiary of f NextDecade Corporation. The Clean Energy has been employed for approximately two years set to commence between March and May 2026 immediately following the expiration of existing time charter with SEFE Marketing & Trading. Similarly, the Arctic Aurora has been employed for approximately seven years, scheduled to commence between September and November 2026, following the expiration of the existing time charter with Equinor. We are delighted with these new agreements, which have added approximately $270 million to our contracted time charter backlog. The earliest contracted redelivery date for any of our six LNG carriers is in 2028 for the Clean Energy, the OB River and the Amur River. So notwithstanding any unforeseen events and schedule vessels drydocking, our fleet is now employed throughout 2027. Let’s move to Slide 9. The Partnership has demonstrated its commitment to its debt reduction strategy. Since December 2019 until June 2023, it successfully repaid $230 million in debt, significantly lowering its net leverage from 6.6x to 4.3x. Additionally, the Partnership has achieved a 42% increase in book equity value standing at $442.2 million as of 30 June, 2023. Looking ahead, we are confident that the Partnership’s ongoing efforts to reduce debt will further augment equity value through stable long-term cash flow visibility. We hold a strong belief that LNG plays a pivotal role in shaping a future marked by a surge in energy demand and a need to manage emissions. The demand for LNG is expected to persist as the global population continues to grow, living standards improve and the world progressively shifts away from coal and other polluting fossil fuels in favor of cleaner energy sources. Furthermore, the long-term outlook for LNG shipping remains robust. These rates are underpinned by sustained demand for LNG shipping, driven by long-term SPAs from countries striving to enhance their energy security and mitigate price volatility. In light of these promising developments, we maintain a positive outlook for the prospects of LNG shipping. Thank you for your attention. We now have concluded the presentation and invite you to ask any question you may have. Thank you.
Operator: Thank you. [Operator Instructions] Our first question is from Ben Nolan with Stifel. Please proceed.
Benjamin Nolan: Hey, Tony. And really my only question is, I believe that the current credit facility matures just about a year from now and would come current would be shown as a current liability. Curious where things stand with respect to refinancing that? Is this given where interest rates are, are you sort of waiting until it is close to or at maturity, just because of the delta and interest rates between what you have and what you could or would be paying? Or I don’t know, I don’t want to put words in your mouth. What’s the plan on the credit facility?
Tony Lauritzen: Yes. Hi, Ben. No, we are in active discussions. It’s not something that we want to leave for the last minute. In any case, the swap can run. It doesn’t have to be back-to-back with the existing loan. So we are in active discussions. We do see demand for LNG projects from financial institutions. I can’t commit on a timeline, but I can tell you this is a live project.
Benjamin Nolan: Okay. And as you are – can you maybe give some sense as to how you’re thinking about what the new financing would look like? Is this similar term debt? Any – have you gotten any sense as to sort of, where the – assuming there will be some incremental interest costs roughly how you think about what that would look like?
Tony Lauritzen: Well, listen, let me just tell you, obviously, we’re in a much better position today compared to where we were in 2019 when we did our credit facility. What I can say is that we’re in a much better position to discuss the dividend to common unitholders. So our objective, I can’t give you any other further information, but our objective is for any new financing facility, not to have a full addition of dividends to the common unitholders similar to what our credit current facility has. And we believe this is a reasonable ask given where we are today.
Benjamin Nolan: Okay. And maybe any – just any construct around, the appetite of the lenders, is this – are you finding it to be a broad base of interest from people to provide the capital?
Tony Lauritzen: Well, as I said before, we do see interest from banks and financial institutions. The company is – has very good contract coverage. So there seems to be interest. Yes.
Benjamin Nolan: Okay. All right. I appreciate it. Thank you.
Tony Lauritzen: Thank you very much.
Operator: Thank you. That is all the questions we have for today. I would like to turn the conference back over to Tony for closing remarks.
Tony Lauritzen: We appreciate your time and attentiveness. Thank you for your participation and look forward to connecting with you again on our next call. Take care and goodbye.
Operator: Thank you. This will conclude today’s conference. You may disconnect your lines at this time and thank you for your participation.